Operator: Good morning, and good evening, everyone, and welcome to Cango, Inc.’s Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. This call is also being broadcast live on the company’s Investor Relations website. Joining us today are Mr. Jiayuan Lin, Chief Executive Officer; and Mr. Michael Zhang, Chief Financial Officer of the company. Following management’s prepared remarks, we will conduct a Q&A session. Before we begin, I refer you to the safe harbor statement in the company’s earnings release, which also implies to the conference today as management will make forward-looking statements. With that being said, I’m now turning the call over to Mr. Jiayuan Lin, CEO of Cango. Please go ahead, sir.
Jiayuan Lin: [Foreign language] [Interpreted] Hi, everyone. Welcome to Cango’s Q4 and full year 2021 earnings call. During 2021, the lingering COVID-19 pandemic and volatile global, political and economic environment posed many challenges to individuals, businesses, and society at large. The automotive industry was put to multiple tests with chip and power shortages and ongoing supply chain disruptions as COVID-19 has become part of the new normal. Despite all the pressure, we proactively coped with the changes and implemented changes within our organization. We took the initiative to transform our business by deepening the platform strategy, and we’re delighted to see encouraging progress over the past year. We achieved great growth and significant progress in our car trading transactions business during the past year, building on our deeply penetrated leadership network covering nearly 50,000 car dealers, which predominantly serve the lower-tier cities and extensive industry know-how accumulated over the last decade. We leveraged high-quality vehicle sources as the entry point supplemented with integrated automotive supply chain services to further empower our dealers. In the process, we promoted a comprehensive transformation of our business into a one-stop automotive transaction services platform. At the same time, in the context of economic changes and tightening regulation, we have proactively adjusted our traditional automotive financings facilitation business since the end of Q2 2021 by strictly managing the business scale and focusing on productivity improvement. All these efforts allow us to improve the profitability of this traditional business. At the same time, we are looking to provide better-quality services for dealers and to increase their stickiness. Our range of proactive business initiatives have helped us to hedge effectively against the challenging economic and market conditions. Despite these difficulties, we achieved total revenues of RMB 1.05 billion in the fourth quarter beating our guidance. Revenues from our car trading transactions business were RMB 704 million, accounting for nearly 67% of total revenues. Revenues from our automotive financing facilitation and aftermarket services facilitation businesses were RMB 252 million and RMB 36.73 million, respectively. Q4 net income was RMB 124 million. Looking at the full year, actually, our total revenues were RMB 3.92 billion, up over 91% year-on-year. During this period of transition, car trading transactions business is a crucial part in the formation of an ecosystem pivoting around Cango’s car trading platform. And this has also been an important business focus in 2021. During the past year, we continued to invest in developing self-owned and third-party sources of vehicles while also strengthening our transaction-matching services. We aim to build diverse vehicle sources to meet the dealer demand, particularly those in the lower-tier markets while attracting more dealers to join our platform and increase their loyalty. In the Q4 of 2021, revenues from car trading transactions grew 28.7% year-on-year, and total revenues for full year 2021 nearly quadrupled compared with the prior year. In just one year, our car trading transactions business has grown into an important driver for revenue growth and our business transformation accounting for 67% of total revenue. Last May, we launched our B2B WeChat mini program called Cango Haoche. As the main traffic attracting entrance to our platform, it combines organically the digital intelligence platform and ground service network to build a closed loop of online matching and offline transactions for dealers, providing them with full process services covering transactions, logistics, finance, insurance, et cetera. At the end of Q4, Cango Haoche had engaged with 6,394 dealers in 31 provinces and 305 cities. Since its launch, a cumulative number of views for Cango Haoche has exceeded 2 million, and the proportion of dealers actively using the service reached 31% in Q4. There are 53 self-owned vehicle models on Cango Haoche, including 13 car brands and 24 ranges of car models. Among those 13 brands, nine of them are NEV brands, new energy vehicle in other words. We also further in-housed our supporting warehousing and logistics capabilities. At the – as of the end of Q4, a total of 93 warehouses have been established, covering 91 cities across the country. Through Cango Haoche, dealers are able to locate their desired car models in as fast as 30 minutes followed with automatic matching of nearest warehouse. Same-day delivery is available in many instances. Moreover, the low-cost vehicle display service with free shipping helps dealers enrich the variety of showroom models and improve their ability to attract and retain customers. More than 400 dealers have applied for this display service and currently nearly 100 dealers are existing Cango display vehicles. In addition to our existing dealership network, we also acquired customers through our independent sales rep initiative, building our own private traffic acquisition and operating capabilities. By the end of Q4, our sales reps network has been operating in 12 provinces across the country with more than 21,000 sales reps and 905 sub-dealers. During Q4, we organized nine in-person experience activities featuring NEV brands in six provinces and cities, including [indiscernible]. The events showcase NEV brands, including ARCFOX, Xpeng, [indiscernible], Poco and HiCar, and matched dozens of orders. By integrating online private traffic with offline community experience, our online to offline or O2O model has been working very well, and we also formed – we have also formed a close traffic group. In terms of our traditional automotive financing facilitation business in anticipation of the market and regulatory conditions, we proactively made strategic adjustments since the end of second quarter 2021. We switched our focus from scale to quality and looking to improve our resilience and operational efficiency through technological tools and process restructuring. In Q4, we facilitated financing transactions totaling RMB 5.733 billion, down 7.7% quarter-over-quarter. The total outstanding balance of Cango facilities financing transactions was RMB 46.702 billion as of December 31, 2021. In terms of dealer network, by the end of last year, we have worked with 49 – 45,930 car dealers throughout China, of which 9,844 were foreign dealers, including 846 luxury brand dealers. In terms of asset quality, as of December 31, 2021, our M1+ and M3+ overdue ratio that increased slightly quarter-over-quarter to 1.62% and 0.86%, respectively. This was mainly affected by the product mix adjustment as well as the weak macroeconomic conditions, but we expect the overdue ratios to remain flat in the coming quarters. Turning to our aftermarket services segment. Through our insurance facilitation services, we continue to explore additional cooperation opportunities with NEV manufacturers in the fourth quarter. We’ve embedded the Cango insurance service portal in Li Auto’s App and will complete integration with Hi-Fi system in March. Talks with other NEV manufacturers are also underway. At the same time, as one of the main supply chain services our auto transaction services platform provides, we’ve been working to further explore our dealer service capabilities in the aftermarket segment. Our insurance portal has been integrated into our dealer platform Cango Haoche, as well as dealer tool Cango Go Plus. During this past quarter, we bundled our auto insurance products with vehicle group sales and successfully launched the first batch of customized insurance products for foreign dealers. As a next step, we will continue to expand the auto service network, increase its stickiness and activity. In 2021, market volatilities caused by COVID-19 and chip supply chain disruptions dealt a serious blow to the car market, particularly in the lower-tier cities. In 2021, we also saw the first year of our full loan effort to transforming to a car trading platform. Confronted with unprecedented market changes, we’ve responded by looking inward for internal impact and define the uncertainties to set our goals. At the China Automotive Industry Summit 2021, we received the 2021 Outstanding Car Transaction Innovative Service Provider Award, demonstrating the industry’s recognition of our transformation into a platform business and the achievements we have made in this direction. In the next stage of developing our platform, we will continue to focus on building the platform’s core competencies, firstly, leveraging Cango’s deep-rooted channel networks and service capabilities in the lower-tier markets and our synergies with NEVs, we will cultivate our NEV sales capabilities in the lower-tier markets. To do so, we will provide dealers with differentiated vehicle sources matching local demand and will help NEV manufacturers with last-mile services in the lower-tier markets. Secondly, we are going to establish an empowerment mechanism to boost dealer loyalty by providing systems toward online responses and offline implementation services that directly address their challenges. We will extend our current three major business segments to provide competitive supply chain services to truly empower our dealers with the platform resources and services needed for their development. Looking ahead, we will continue to optimize the ecosystem of our car transaction services platform with our advantage in the supply chain and car sourcing complemented by our consistently improving systems, tools, and service operating capabilities. We will further empower our dealer partners and continue to provide high-quality branded auto-related services to consumers. Next, I will turn the call over to our Chief Financial Officer, Michael Zhang, for a review of the company’s financial performance.
Michael Zhang: Thanks, Jiayuan. Hello, everyone, and welcome to our fourth quarter and full year 2021 earnings call. Before I started to review our financials, please note that unless otherwise stated, all numbers are in RMB terms, and all percentage comparisons are on a year-over-year basis. During the quarter, macroeconomic headwinds continued and global chip shortage have directly impacted China’s automotive industry. Facing external pressure, we continue to make steady progress in the fourth quarter with top line beating our previous guidance. Fourth -quarter total revenue were RMB 1,050.5 million. Looking at the quarterly performance of our three core business. Revenues from car trading transaction were RMB 703.9 million, continued to serve as an important growth driver and playing a key part in our business transformation through our platform model. Revenues from automotive financing facilitation aftermarket services facilitation were RMB 252 million and RMB 36.7 million, respectively. Now let’s move on to our cost and expenses during the quarter. Total operating costs and expenses in the fourth quarter 2021 were RMB 1,207.6 million, compared to RMB 899 million in the same period 2020. This was mainly due to the related costs incurred by car trading transactions business. Cost of revenue in the fourth quarter of 2021 increased to RMB 880.7 million from RMB 723.8 million in the same period 2020 as a percentage of total revenue. Cost of revenue in the fourth quarter 2021 was 83.8%, compared to 66% in the same period 2020. The change was primarily due to an increase in the amount of car trading transactions. For automotive financing facilitation and aftermarket services facilitation, cost of revenue as a percentage of relevant revenues was around 54.1% in the fourth quarter of 2021. Sales and marketing expenses in the fourth quarter 2021 were RMB 73.8 million, compared to RMB 65.8 million in the same period in 2020. As a percentage of total revenue, sales and marketing expenses in the fourth quarter of 2021 was 7%, compared to 6% in the same period 2020. General and administrative expenses in the fourth quarter 2021 were RMB 86.1 million, compared to RMB 90.1 million in the same period in 2020. As a percentage of total revenue, general and administrative expenses in the fourth quarter 2021 remained flat at 8.2% compared with the same period 2020. Research and development expenses in the fourth quarter 2021 were RMB 23.6 million, compared to RMB 23 million in the same period in 2020. As a percentage of total revenue, research and development expenses in the fourth quarter of 2021 was 2.2%, compared to 2.1% in the same period 2020. Net loss on risk assurance liability in the fourth quarter of 2021 was RMB 84.6 million, compared to a net gain of RMB 18.8 million in the same period of 2020. The loss was mainly due to a sequential increase in default rates over the last quarters. We recorded a loss from operations of RMB 157 million in the fourth quarter of 2021, compared to an income of RMB 198.4 million in the same period 2020. This decrease was mainly due to loss on risk assurance liabilities and provision for credit loss, as well as the decrease in gross profit margin of our automotive financing facilitation and aftermarket services facilitation business. Due to the fair value change of the company’s investment in Li Auto, net income in the fourth quarter of 2021 was RMB 124.1 million. Non-GAAP adjusted net income in the fourth quarter of 2021 was RMB 147.3 million. On a per-share basis, diluted net income per ADS in the fourth quarter of 2021 was RMB 0.87 and diluted non-GAAP adjusted net income per ADS in the same period was RMB 1.04. For the full year of 2021, our total net revenue increased by 91.1% year-over-year to RMB 3.9 billion. Total operating costs and expenses were RMB 3.9 billion. Net loss was RMB 8.5 million and non-GAAP adjusted net income was RMB 79.1 million. Diluted net loss per ADS was RMB 0.06, and diluted non-GAAP adjusted net income per ADS was RMB 0.54. Moving on to our balance sheet. As of December 31, 2021, we had cash and cash equivalents of RMB 1.4 billion, compared to RMB 906.4 million as of September 30, 2021. As of December 31, 2021, the company had a short-term investment of RMB 2.6 billion, compared with RMB 3.6 billion as of September 30, 2021. Looking ahead to the first quarter 2022, we expect our total revenue to be between RMB 700 million and RMB 750 million. Please note that this forecast reflects our current and preliminary view on the market and operational conditions, which are subject to change. This concludes our prepared remarks. Operator, we are now ready to take questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And the first question will come from Shelley Wang with Morgan Stanley. Please go ahead.
Shelley Wang: [Foreign language]
Jiayuan Lin: [Foreign language]
Shelley Wang: Thank you. I’m Shelley Wang. I have three questions. So the first question is what is your outlook for contributing transactions business in 2022, mainly your outlook for sales and gross margin? And my second question is that in Q4, I noticed that the company made quite high provisions. And also in Q1 this year, we – I noticed that the guidance from the company on revenue is quite conservative. So on what basis do you produce such a cautious forecast or guidance? Is it because of your more negative outlook of the macroeconomic conditions? Do you think that the macroeconomic conditions will have a negative impact on the demand? Or is it more because of your concerns over the consequences from the business transition of the company? So which factor plays a more important role in your production of these numbers? And my third question is about your cooperation with NEV. Could you give us some update on your collaboration with NEV manufacturers? Any new business partnerships? Thank you.
Unidentified Company Representative: So Mr. Lin said that he will take the first and third question, and Michael will take the second question.
Jiayuan Lin: [Foreign language] [Interpreted] Okay. So for the first question, in 2021, we sold a total of about 23,000 vehicles and including 5,742 NEV. So actually, for the full year, the sales volume was 23,166. Right now, the gross margin level was about 1%. Though the gross margin of car transaction is low now, there is sufficient potential for Cango in the lower-tier markets, which is worth tapping into because we have a lot of strengths or advantages in terms of market size as well as marketing power. Looking forward to 2022, we expect the auto market to remain under pressure because of global chip shortage. However, the impact on NEVs will be smaller. We will focus on strengthening our NEV sales capabilities in the lower tier market, and we will try to create an empowerment system conducive to increasing this dealer stickiness. Meanwhile, we will also carry out our training programs for dealers, so that we will be able to build up our brand image and enhance dealer loyalty. So that’s my take on the first question. Now I will take your third question. Actually, in terms of our collaboration of our NEVs, actually, we’ve been working closely with the NEVs over the years, and we’ve been trying to embed our products into their systems. With the integration of the system, we will buy battery power in our NEV manufacturers and then we will also be able to extend our collaboration. In terms of our car trading transaction with NEV, we – over the years, we have been taking advantage of our diluted network. Especially in the lower-tier cities, we will be connecting the car dealers as well as the car buyers to our platform. And we’ve been working with a series of NEV brands like ARCFOX and Xiapeng, et cetera. So what we are doing or what we are trying to do is that we will integrate our dealer and consumer resources in lower-tier markets to create a service loop with our platform-based car sourcing, financial services, and insurance services will better empower our car dealers. And this is the underlying logic of our business. Now I will hand over to Michael.
Michael Zhang: [Foreign language] [Interpreted] Okay. I will take the second question. I will answer your question divided into two parts. The first part is actually about our provision for bad debt in Q4. Yes, you are right, we have increased our provision for bad debt in Q4, mainly because of the two reasons. The first reason is that we noticed that in the lower-tier markets, the credit cycle is showing some negative signs. For example, like the customer base is moving downwards. And also if you look at quarter-by-quarter number, the overdue ratio is deteriorating. And the second reason, it has something to do with collection. And because of the outbreak of pandemic in China – different parts of China, and our collection have been negatively impacting different part – in different regions. And this has been a reason why the overdue ratio has been rising as well. So based on the principle of potentiality, we have decided to increase our position for Q4 to reflect the changes in asset quality as well as changes in the external environment. Okay. So the second part is about our conservative guidance for Q1 revenue. While there are two main reasons for this. The first one is – has something to do with the external demand. We expect the demand from the lower-tier markets, well, actually, will be quite soft, especially demand for our trading services as well as demand for our facilitation business was mostly because of the different types of pressure available in the market. So overall speaking, we are indeed not so optimistic about the market demand in 2022. And the second reason has something to do with our own strategic transformation. Well, in the second half of last year, the company decided to transform its strategy from the facilitation business-focused model to model that – emphasizes more on our car trading capabilities, service capabilities, and aftermarket capabilities as well. In other words, since the second half of last year, we have started to reduce the size of our facilitation business, which actually holds higher credit risk. And so as I said earlier, we have also noticed the changes in the credit cycle in the market. So that’s why since the second half of last year, we started to change our business model. So in the future, yes, there will be less focus on those business lines that have higher credit risks and financial risks. Instead, we will focus more on trading and service businesses. So in the process, of course, in the near-term, the reduction or contraction of the facilitation business will have some negative impact on our expected revenue. So this is indeed something that has been a result of our strategic transformation. So combining the two reasons, our expectation of the market demand and also because of the strategic transformation, we have given this new guide – we have given this revenue guidance for Q1.
Operator: [Operator Instructions] The next question will come from David Pan with Goldman Sachs. Please go ahead.
David Pan: [Foreign language]
Unidentified Company Representative: Thank you. I have three questions. The first question is about your outlook for the loan facilitation business. Well, in Q4, indeed, we noticed that there were some changes in terms of this business, both year-on-year as well as quarter by quarter. And also, you have talked about the changes in asset quality and pressure that you are facing. So what is your future plan for the loan facilitation business? Well, right now, the company is going pretty well with your strategic transformation. And I noticed that indeed, the contribution from the loan facilitation business onto your total revenue has reduced. And, of course, the growth trend has changed as well. So what is your plan for loan facilitation business over the next few years? Will you continue with this business or will you exit from this business? And the second question is about the cash and cash equivalents. I noticed that by the end of 2021, the company still holds about RMB 1.43 billion of cash and cash equivalent. So what is your plan for the use of the cash? And the third question is about holding foreign company accountable act. So there will – there are some rules in terms of listing of this holding foreign companies. So could you talk about the impact of this new act on your business?
Jiayuan Lin: [Foreign language] [Interpreted] Thank you, David, for your questions. I will take the first question, and I’ll leave the second and third to Michael. Because of changes in the macroeconomic conditions, we’ve decided to reduce the size of our loan facilitation business. However, we will not give up this business altogether because non-facilitation business are part of the fundamentals of the group. So instead in the future, we will focus on more around low-risk business for loan facilitation and as well that the business that can help – that will be more efficient. Also, while we are transforming into a trading platform, we still have to rely on loan facilitation business to provide impact for our growth. And actually, when you are providing trading services, you have to provide the loan facilitation business as well. And as I said, we are going to rely or still rely on the loan facilitation as a catalyst for our future growth. Okay. Now I’ll hand over to Michael.
Michael Zhang: [Foreign language] [Interpreted]Thank you, David, for your questions. I will add a few words to the first question. Well, yes, as Jiayuan said, loan facilitation business, we will not give it up. However, we are changing the positioning of this business line in our total business structure. Well, as we are now turning more toward trading as well as the service platform. So in other words, in our new business model in our business close to is trading first. And then as part of trading, we provide loan facilitation business to our customers. So in other words, you can understand it this way. The loan facilitation business will become an extension of our trading and the service platform, we also could provide an opportunity for us to cash in. At the same time, we will try our best to improve the productivity and increase the efficiency of the operation of this loan facilitation business, including or in particular, cost control. So this is the – our positioning of this loan facilitation business for the future. About your second question, the use of our cash balances. Well, of course, firstly, we will have to use the cash to meet our strategic development needs. Well, we will look at where we need the cash to support our business growth and also, we are transforming our business model, so we may need the cash to meet our capital expenditure needs. In addition, we also used the cash to better realize our potential external cooperation opportunities. About your third question, HFCAA, well, we did notice that there have been some news coverage on this act. However, so far, for the company, we have not yet received any form of inquiry from either NYSE, New York Stock Exchange, or any regulators. So for us, we will keep following up the regulatory developments. At the same time, we will also make plans in line with the regulatory changes in different markets and future possible regulatory arrangements. However, for us, so far, our focus will be actively communicating with the regulators and work with the regulators.
Operator: The next question comes from Tim Moore with Zacks. Please go ahead.
Tim Mooret: Thank you. I have four questions, which I’ll ask individually. My first question is similar to what Shelley was asking about. Your revenue growth guidance for the first quarter seems a little bit light. We’re aware of the macro slowdown and the Olympics and Chinese New Year impacts. So what I was really kind of wondering is, are you skipping or turning away possibly half of the business opportunities in the loan facilitation business as part of your transformation and in order to avoid maybe some write-downs from credit cycle tightening in some cities? I just want to get a better sense of how active and intentional you’re really skipping business on the loan side rather than macro pressure.
Unidentified Company Representative: [Foreign language]
Jiayuan Lin: [Foreign language]
Unidentified Company Representative: So CEO Jiayuan will take the question first, and then Michael will add what he feels.
Jiayuan Lin: Well, as we explained earlier, we decided to contract or reduce the size of this loan facilitation business partly because of the macroeconomic condition changes as far as the changes in the credit cycle. However, we will not give up this business. Because we still have a lot of the core competencies in the loan facilitation business. We will not simply give them up. So our plan is that when the market is down – in a downturn, we will contract our business correspondingly. However, when the market recovers, we will expand our business again. In addition, as I’ve explained earlier, well, we are transforming our business model. And in transforming ourselves into a trading platform, the financial services or loan facilitation business is actually an inseparable part of these trading services. So that’s it from me. I will now hand over to Michael.
Michael Zhang: [Foreign language] [Interpreted] Thank you, Tim. So I will add a few points on this. First of all, yes, as you noticed that we have made major adjustments to our loan facilitation business side. Actually, we took the initiative to reduce the size of this loan facilitation business, well, for the reasons our CEO has already explained quite clearly. And another reason is that we believe we are still at the beginning of a new credit cycle. So what we want to do is to quickly reduce our credit risk exposure in a relatively short period of time. If you look at our outstanding balance for loan facilitation business, it is still about RMB 45 billion and about – and among which RMB 25 billion to RMB 30 billion are what we need to undertake risk assurance liabilities. In other words, we have to take on the credit risks for about RMB 25 billion to RMB 30 billion of this outstanding balance. So we want – that’s why we need to take a very quick initiative measures to make major adjustments to the new loan facilitation business in a relatively short period of time so as to reduce our risk exposure. So that’s why you saw these major changes in our Q1 guidance. Sorry, just one last word on this point. So let’s – and our goal is to minimize our credit risk in the shortest period of time possible in our business model.
Tim Mooret: Okay. Thank you. That was very helpful for that point. My next question relates to your closed-loop one-stop shop, which is very differentiated including your logistics, warehousing, and last-mile service for dealers. I’m hoping that you could share some examples or actions that you’re taking or you plan to take to accelerate the penetration of auto trading into your dealer network. I believe you have auto trading in about 6,000 or so of your dealerships. And it seems like it could go to 15,000 or 20,000 over time, at least half the dealership base maybe a couple of years out. So just wondering maybe what you’re doing to really move that needle faster maybe on the auto trading penetration.
Unidentified Company Representative: [Foreign Language]
Jiayuan Lin: [Foreign language] [Interpreted] Thank you, Tim, for your question. I will take the first part of your question. So in terms of our car trading business, well, actually, it’s a natural extension of our loan facilitation business over – that we have built over the past 10 years. Well, thanks to our more than a decade of efforts, we have built up a strong capabilities in the auto loan facilitation segment as well as the insurance service sector, so – I mean, segment. We have also, over the years, build up relationships with more than 50,000 dealers in the lower-tier markets as well as our in-person service capabilities. All these capabilities are in – are essential to our car trading business. So this is also where we are different from a lot of the peers in the market. And in terms of the specific actions we have taken, well, actually, we have been organizing training programs for our service personnels and in line with our car trading business development needs. And for example, we train on how to better work with the car dealers. So over time, with our investment in capacity building and in our investment, in resources, well, actually, we will fully – we will quickly fully leverage our capabilities in the traditional loan facilitation business to support the growth of our car trading or car transaction business. And to give you another example, which is also part of your question, that is the last mile service we deliver to car dealers. Well, an example is the display service that we organize for car dealers. And this is a service that we have launched based on our deep knowledge of the needs of our car dealer partners. And about our warehousing services, we have fully developed the system and the strong database that will – that helps us smartly and rationally organize our warehousing facilities. And for some dealers who don’t have a long-term business with us and also for some purchasing orders that are not so big in volume or in value, we provide the self-service possibility for the dealers. That is the dealers can come to our warehouse and pick up the car by themselves. So that’s me, and I will hand over to Michael.
Michael Zhang: [Foreign language]
Unidentified Company Representative: No more from Michael.
Tim Mooret: Great. Thank you for elaborating on that important topic. My other two questions were already answered, so I don’t have any further questions. Thanks.
Unidentified Company Representative: [Foreign Language]
Operator: The next question will come from Brent Lee with Bamboo Works. Please go ahead.
Brent Lee: [Foreign language]
Unidentified Company Representative: [Interpreted] Okay. My question is – I have just one question. My question is about the company. I noticed that the company has reduced your holding in Li Auto. So what is your view on Li Auto for future development?
Jiayuan Lin: [Foreign language] Okay. On this question, actually, we reduced our holding in Li Auto as a part of our investment decisions. And though we have reduced our holding, we will maintain our close strategic partnership with Li Auto. And as usual, we are still very positive about the development of NEV and its market, including the auto.
Brent Lee: [Foreign language] [Interpreted] Thank you.
Jiayuan Lin: [Foreign language] That closes today’s conference call. Thank you all for your attention.
Michael Zhang: Okay. Thank you.
Operator: The conference call has concluded. Thank you for your participation. You may now disconnect.